Operator: Greetings, and welcome to the Sportsman's Warehouse Fourth Quarter and Full Year 2023 Earnings Call. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Riley Timmer, Vice President of Investor Relations. Thank you. You may begin.
Riley Timmer: Thank you, operator. Participating with me on the call today is Paul Stone, our Chief Executive Officer; and Jeff White, our Chief Financial Officer. Now I'll remind everyone of the company's safe harbor language. The statements we make today contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, which includes statements regarding expectations about our future results of operations, demand for our products and growth of our industry. Actual results may differ materially from those suggested in such statements due to a number of risks and uncertainties, including those described in the company's most recent Form 10-K and the company's other filings made with the SEC. We will also disclose non-GAAP financial measures during today's call. Definitions of such non-GAAP measures as well as reconciliations to the most directly comparable GAAP financial measures are provided as supplemental financial information in our press release, included as Exhibit 99.1 to the Form 8-K we furnished to the SEC, which is also available on the Investor Relations section of our website at sportsmans.com. I will now turn the call over to Paul.
Paul Stone: Thank you, Riley, and good afternoon, everyone. Let me start by reminding everyone the mission of Sportsman's Warehouses to provide outstanding gear and exceptional service to inspire outdoor memories. This is the core of our company and what we will continuously lean into as we carefully navigate a microeconomic environment. As we reported earlier in the earnings release, the business remained under pressure during the fourth quarter with net sales coming in at the low end of our guided range. However, earnings per share exceeded the top end of our guidance range with both our inventory and debt levels finishing the year better than we expected. We will continue to prioritize the pay down of debt with free cash flow generation as we move through 2024. We view 2024 as a year to reset the organization and return the business to profitability, creating a strong foundation for anticipated profitable growth in 2025. During my first 4 months, I spent my time visiting stores, getting to know our associates, talking with our customers and getting to know many of our vendors and their perspectives. I also reviewed technology and talent needs for the organization. My early assessments confirmed why I chose to join Sportsman's Warehouse and also provide visibility into the opportunities that exist to become the leader in specialty outdoor retail. Our strategy is on resetting and rebuilding the fundamentals of great retail, which for Sportsman's Warehouse are great gear and exceptional service. While some of our key initiatives are still taking shape, we took several early actions in the areas I mentioned just a moment ago. Given the importance of technology, culture and operating great stores, we made some leadership changes in these areas bringing in best-in-class talent for our key roles. We now have an experienced retail team, including veteran outdoor retail professionals who each have a track record of successful execution with organizations like Walmart and Sam's, Target, Academy Sports and Cabela's. Importantly, I have worked with many of these executives at other high-performing organizations. We speak the same language, know what's expected, and we're already moving very quickly. Other areas where our strategic efforts will be highly focused in 2024 include creating stronger channel capabilities, making improvements to our loyalty program and precise execution of our digital and traditional marketing strategies. We also see opportunities to better support the customer through the use of technology. By creating wheel styles equipping our store associates with improved tools, we will be better prepared to service the customers. Additionally, we are refining our marketing mix model to better understand what resonates with our customer. This allows us to be more productive with our current marketing dollars, to capture more share of the online sales and further increase our omnichannel care base. This is another way for us to further streamline and gain greater efficiency within the current organization. Currently, we are viewing the foundational techniques for marketing as well as making sure we're building the right tools and capabilities to support our omnichannel efforts. Today, our focus will be on finding the most productive uses of our marketing resources as we continue to improve our capabilities, evolve our programs, invest strategically and leverage our current on-channel platform. I also see opportunities to refine and evolve our loyalty program. While over 50% of our sales come through our Loyalty members, I believe there's an opportunity to improve the value proposition of the program, drive more engagement with our members through personalization, attract and retain more members and increase the lifetime value of our existing customers. As I mentioned earlier, part of the reset of 2024 will include investments in needed tools and technology to support our base of stores. We recently partnered with Blue Yonder, a best-in-class supply chain management solution to develop a comprehensive merchandising assortment and planning software system. With this tool, we will have improved capabilities with inventory management, store planogramming, seasonal regional auto replenishment as well as improved in-stock and productivity reporting. This will also help facilitate the expansion of our omnichannel capabilities, which is the regional and seasonal customer expectations. The other area of technology investment involves workforce management software. This tool will allow us to officially staff our stores and be closer aligned with the peak hours of customer business. This alignment, along with changes we have in our store compensation and leadership structure are important investments as we navigate towards our continuous goal of exceptional service. As we reported, during the fourth quarter, we further reduced our inventory levels and made significance to get out of products and brands that simply do not resonate with our core customer. While we made good progress during the fourth quarter, we will continue to closely manage our inventory levels and merch mix. This will ensure we have the right products in the right location at the right time, creating inventory efficiency, which allows us to better service our customers and improve our overall merchandise productivity. Significantly reducing inventory as outlies to invest in newness and relevant seasonal products as we prepared and binds into our key spring outdoor season. We are currently seeing positive trends in camp and fish as we invested in newness and depth going into these early spring season. Another piece to our inventory management strategy includes rationalizing our SKUs and refining our product assortment. This will allow us to drive the following: improved inventory productivity and churns, better depth of the key and never out items, new local and regional product offerings and improved overall in-stocks and customer shopping experience. Over the last few months, our merchant team has successfully worked through this initiative in a number of product areas. As we navigated through lower in Q4 inventory, we were very purposeful in how we prepared for our key spring season, particularly fishing. This is a category where we have a right to win, especially at the local and regional level. For the first time ever, our fishing set was in place by mid-February with depth and critical items. I talked about 2024 being a reset year. Here's what the spring reset meant to the fishing category. First, we rationalized the assortment. We're moving 40% of the SKUs and 30% of the vendors. Next, we reassorted the category across all regions and stores with local relevance and accuracy. Then we invested in depth into key products and our local product offerings. And finally, we reset the sales forward to align our in-store presentation with the new assortment, including better productivity of our in rain caps and expanded feature space. It's the execution of key initiatives such as this that gives me confidence we are moving the business in the right direction to once again merchandise and operate great stores. Along with tight inventory management, we expect to maintain both rigor and discipline on our variable SG&A cost. Last year, we eliminated about $25 million of indirect cost out of the business, and we'll continue to manage these efforts carefully. My objective is to further select the assets of the business using 2024 as a reset year to get us back to operating profitably. We're gaining our edge of being the best local and convenient choice is what separates Sportsman's Warehouse from the competent. This means having a great year in providing exceptional service in each of our 146 stores every day. I firmly believe we are implementing the right strategies and making the necessary improvements to solidify the foundation of this company to return us to profitability and increase shareholder value. With that, I'll now turn the call over to Jeff.
Jeff White: Thank you, Paul, and good afternoon, everyone. I'll begin my remarks today with a review of our fourth quarter and full year fiscal 2023 financial results, then cover our liquidity and capital allocation plans and finally, review our outlook for 2024. As Paul mentioned, net sales for the fourth quarter were $370.4 million and came in at the low end of our guided range. This is compared to $379.3 million in the fourth quarter of the prior year. Our net sales remain pressured from a challenging macroeconomic environment and persistently high inflation weighing on our consumer discretionary spending through the holiday season. As a reminder, 2023 was a 53-week year, which result in 1 extra week in the fourth quarter when compared with the prior year. The 53rd week for 2023 contributed $15.4 million net sales and resulted in an additional $0.06 loss to EPS compared to the prior year's 52-week period. Same-store sales decreased 12.8% in the fourth quarter on a 14-week basis compared with the same time period of fiscal year 2022. Excluding the additional week, same-store sales in the fourth quarter were down 12.8%. Looking at comparable sales by department, hunting was the best performing category during the fourth quarter, down 3.9% on a 14-week basis compared to prior year. This outperformance versus the run rate of the company was driven by items that correlated with holiday gift giving such scopes and optics. All other departments were down double digits in the quarter, reflecting the tough macroeconomic environment and underscoring the importance of having the right inventory for the right location and season so we can provide a better overall shopping experience for our customers. During the holiday season, the customer came in specifically for the promotions with very little attachment to other items in the store, highlighting the continuing inflationary pressure on our core customer base. On our last call, we outlined our strategy to further promote and mark down distressed portions of our apparel and footwear inventory in an effort to end the year in a much healthier position. During the fourth quarter, we successfully executed on this plan, exceeding our goal and ending the year with $354.7 million in inventory, $10 million below our guidance. By reducing inventory nearly $90 million in the quarter, we generated excess cash flow, allowing us to pay down our debt by over $59 million. Gross margin for fourth quarter was 26.8% versus 32.4% in the prior year period. This decrease was primarily driven by the promotional efforts to move through distressed apparel and footwear inventory as well as lower gross margins on ammunition. However, while down significantly compared with the prior year, gross margin in the quarter came in better than we expected as we did not have to be as aggressive as planned with our markdown to move through the distressed inventory. We estimate that the EPS impact from the gross margin relating to the markdowns was between $0.30 and $0.40 in the fourth quarter of 2023. As a percentage of net sales, SG&A expense increased to 29% compared to 28.1% in the fourth quarter of the prior year. This increase was primarily due to higher rent and depreciation expense from the addition of 15 new stores opened during 2023 and the stores refreshed over the last 2 years. While SG&A was up as a percentage of sales on a year-over-year basis, SG&A dollars were down 9.8% on a per store basis versus Q4 of 2022. The most significant year-over-year decrease was in payroll, which was down approximately $3.9 million from last year or a decrease of 17.4% on a per store basis. During the back half of 2023, we undertook a comprehensive expense reduction initiative to align our costs with the declining trends of the business. These efforts resulted in approximately $25 million of annualized savings. We expect to continue to realize the benefit of these cost reduction throughout 2024 and will continue to reduce expenses where we believe we can simplify the business. Net loss for the fourth quarter was $8.7 million or negative $0.23 per diluted share compared with net income of $11 million or $0.29 per diluted share in the fourth quarter of the prior year. Adjusted net loss in the fourth quarter was $7.5 million or negative $0.20 per diluted share compared with adjusted net income of $12.7 million or $0.33 per diluted share in the fourth quarter of the prior year. Adjusted EBITDA for the fourth quarter was $5.3 million compared with adjusted EBITDA of $28.2 million in the fourth quarter of 2022. Shifting now to the full fiscal year. For the full year of 2023, we finished with sales of approximately $1.29 billion and adjusted EPS of negative $0.64 per diluted share. For the full year of 2023, we estimate that the earnings per share impact from the clearing of distressed inventory was between $0.60 and $0.80. I will now take a minute and review our balance sheet and liquidity as of the end of 2023. Full year 2023 ending inventory was $354.7 million, compared to $399.1 million at the end of 2022, a decrease of $44.4 million or approximately 20% on a per store basis. Compared to the end of the third quarter, inventory is down nearly $92 million. Successfully moving to our seasonal and distressed inventory during the fourth quarter, facilitated the better-than-planned inventory balance and debt pay down at year-end. This was important and provided us the open-to-buy dollars needed to lean into new merchandise to support our spring and early summer seasons to which we are already seeing success. Inventory management will remain a primary focus as we now expect to move more efficiently in and out of season and improve the productivity of our inventory as we continue to rationalize SKUs and vendors. For the full year 2023, we incurred approximately $60 million of net capital expenditures, primarily related to the construction of our 15 new stores and ongoing fleet maintenance. In regards to liquidity, we ended the debt balance of $122.9 million and total liquidity of $91.4 million. We used our cash flow generated during the fourth quarter to pay down debt and we'll continue to emphasize debt paydown as our primary use of free cash flow until we reduce our leverage ratio. Turning now to our guidance. As we mentioned in the earnings release, we are adjusting our cadence and will now provide annual net sales and adjusted EBITDA guidance, which we will provide an update to you quarterly. Our focus will be on longer-term measures being a great retailer and returning Sportsman's Warehouse to profitability in 2024. Starting with our net sales outlook, we estimate fiscal 2024 net sales to be in the range of $1.15 billion to $1.23 billion. We expect adjusted EBITDA for fiscal 2024 to be in the range of $45 million to $65 million. We expect CapEx for 2024 to be between $20 million and $25 million relating to technology investments to improve store service and merchandising productivity as well as our normal store maintenance. To reiterate, our priority for 2024 is to use excess free cash flow to pay down our debt, decrease our leverage ratio and invest in needed technology. As we carefully manage inventory and variable expenses, we believe we can return the business to profitability. That concludes our prepared remarks today. I will now turn the call back over to the operator to facilitate questions.
Operator: [Operator Instructions]. Thank you. We will now be conducting a question-and-answer session. Our first question comes from the line of Mark Smith with Lake Street Capital.
Mark Smith: First question for me is really around margins. I think it's kind of what's built into your outlook here in '24. Any additional thoughts you can give us around maybe even SG&A and the $25 million in savings. Any insight you can give us on maybe where that falls for the full year or any additional insights into gross profit margin, maybe improvements of where it came in here in the latter half of the year?
Jeff White: Yes, Mark, great question. It's Jeff. Good to hear from you. From a gross margin perspective, as we think about going into '24, I would frame it up as you won't see as aggressive degradation as we saw in '23 as we had to move through the distressed inventory. Our goal really is to, now that we've gotten out of that to claw back the gross margin losses that we had during '23 on the clearancing of inventory and really get the margin back up to where we've historically run. So as Paul and I had stated on our call, we feel confident that we moved through the brunt of that during Q4 and that we'll be able to see some margin increases during -- as move into '24. In terms of SG&A cuts, I think the best way to think about that is we started that process kind of mid-Q3. So Q4, we saw a really good execution in expense cuts. Those expense cuts are going to flow into Q1, Q2 and partially into Q3 into 2024. So we're going to continue to see benefits from those expense cuts as we move through a big part of 2024.
Paul Stone: And I would just say, I mean, we continue to be focused on being a low-cost operator. And I mean, ultimately, we are a warehouse, and we should operate as a warehouse as we just continuously look at ways to be able to take cost out of the business without impacting our stores and our service. And as we reinvest back into exceptional service that we'll have to continue to invest in our stores. But we're going to be, I think, extremely scrappy would be the best way of saying it around being able to keep costs in check and to be able to continue to flow.
Mark Smith: Okay. Next question for me is kind of a tough environment here. Any additional insight you can give us on the consumer environment. And in particular, I'm curious your thoughts around recent mix data here in March and if that mix some of that weakness kind of applies to you guys as well.
Jeff White: Mark, I would just say we're not seeing the same decline in mix that's being reported, and we believe we're leaning into it and taking share as a company. So I know as we saw that come out yesterday and as we look and we kind of gather our data, we feel that we're continuing to be able to grow. And as we think about the business and we see others walking away from the business that we feel we have a huge opportunity to continue to gain share in that part of the business.
Paul Stone: In terms of -- Mark, in terms of the consumer trends that we saw, during the holiday, we said it in our remarks, but the customer was really focused on promotional activities. We're continuing to see them focused on that and trending downwards towards an entry level or a mid-level price point. So we're seeing some pressure that's coming through on our customer and our spending habits in terms of them looking at promotions but also really gravitating towards that entry and mid-level price point.
Mark Smith: Okay. Perfect. Last question, I think, for me. Just as we look at the inventory, really solid improvements there, and maybe this will sound like a weird question given where we came from. But is there a point where your per-store inventory where you cut too much or give me a feel for kind of your comfort levels around current inventory?
Jeff White: Mark, we feel good with the inventory position. I think really good with what the merchant team was able to do in Q4, the one got out of the distressed merchandise. But two, still had an eye on spring and knowing that we missed spring in a big way around fish and camp. So I mean they did a really, really nice job of managing the liquidation process, but keeping their eye on what we needed to do for Q1, Q2 as you come into fish and you come into camp. So I think as we think about it in terms of getting out of some of these XYZ items and then being able to double down and really invest in what the customer wants in the ABC item, we're going to have depth in the product that customers want. And quite frankly, we're going to have feature space like we've never had before as an organization to be able to highlight that great new merchandise that we bring in and be able to open up our stores where you're going to be able to see features a more direct line of sight for people to be able to navigate our stores. So I would say the tell that we've pulled out we feel really good with and how to be able to double down and invest on those key items, which I think we've lacked in the past of being able to really buy with depth, one, the key items and to be able to freshen the stores with newness. And we're seeing the newness of work. And as we come into spring, the work that the team and the merchant team was able to do in Q4 to keep their eye on Q1, we're liking what we see.
Operator: Our next question comes from the line of Ryan Sigdahl with Craig-Hallum Capital Group.
Ryan Sigdahl: Just curious if you can give any commentary on year-to-date trends, whether it be sales and/or on the margin side?
Jeff White: Yes. I think where we'd say we -- I mean, you come into February, and we continue to feel softness from a traffic and just some of the macros that was happening. And then really, as we start to get into the back half of March and really what we've seen as we started April as the weather is broke, and then going back to my point to be ready for the key categories in both with camp and fish. We're -- I think we feel good with it. February felt a little bit like January felt like quite honestly. And then as we broke and the weather started to break, we've started to see the traction that we wanted to see. So we're very happy with what we're seeing, especially in those key categories that spring is really important, too. So I would just -- I know as we kind of round that, I don't know if Jeff has anything to add, that we would just look at January and say continued trend of what we saw at the -- or at the end of the year. And then as we've really built and continue to build into the quarter, the execution both from the merchants and from the operations to bring the team and bring the stores to life. We're happy with what we're seeing at this point.
Paul Stone: Yes. The only thing I would add to that, Ryan, is on the margin front, to your question, as you see better performance out of the camp and fish category. Obviously, those categories for us are more margin accretive than selling more firearms and ammo. So seeing life in those parts of the business, give Paul an item optimism on where we're heading in turn of the right trend of the business.
Ryan Sigdahl: Great. Then maybe just wanted to put a finer point on inventory. I guess, is the right way to think about it that absolute inventory dollars are pretty stable here through the year, but it's just a rationalization and optimization of the mix throughout there.
Paul Stone: Yes, Ryan. From a working capital perspective, I think there's always a little bit more we can squeeze out of inventory. I'm going to beat up the merchant team to always increase turns and be more productive on inventory. So I don't think we see huge cash generation like we did last year in terms of the reduction of inventory, but there is always better efficiency that we can drive and clean up to be had in order to drive more productive inventory across the board. So I know that wasn't a direct answer to your question, but where we ended, we feel comfortable, that's not to say that there's not things we need to clean up, so then we can take those dollars and read through inventory that we want to have in the store. So it's going to be a continuous process throughout the year, and we're going to continue to work on really driving productivity of inventory.
Jeff White: I would say we'll just continue to keep a cadence of being able to get out when we need to get out. And as we start the year in better position in key categories, that's going to give us legs to be able to turn that merchandise quicker than what we have in the past. I think we've been a little late and now being able to be proactive to help with their sell-through and our turn.
Ryan Sigdahl: Last one for me, just some of the ammo OEMs, taken price increases reasonably impacting you guys are -- you able to pass that along to the end consumer? And any commentary kind of on ammo margins relative to what we see recently here.
Jeff White: Yes, Ryan. On the ammo front, I called out that we see -- we continue to see pressure on the gross margin line in ammunition, particularly in your range-type calibers, your 9-millimeter, your .556 or .223. We're seeing pricing pressure out in the retail market. We're seeing retailers take the price point down on those to stay competitive. For us, it really is the milk in the back of the store. So we have to use that as a traffic driver. We need to stay competitive in the market. So we're seeing degradation in the margin in those categories because of increased availability and the competitive landscape. I would frame that we're not seeing it go back to pre-COVID levels, but it is something that we're keeping our eye on and making sure that we stay competitive in order to use that as a traffic driver.
Operator: Our next question comes from the line of Justin Kleber with Baird.
Justin Kleber: Just the first one, I had was a follow-up to Mark's gross margin question. Of that 300 basis point decline in '23, Jeff, could you size, I guess, the drive specifically related to markdowns and clearance just as we think about the recapture opportunity here in '24.
Jeff White: Yes, Justin, great question. As we look at the degradation that we called out in the press release, that is all driven by the clearancing of inventory in apparel and footwear that we needed to get out of. So we quantified that. We said that, that was relating directly to those clearancing activity. As you think about what opportunity that creates anticipation in the back half of the year would be not to anniversary a clearance event like that. and be able to bring highly productive full margin products to the stores. Bring them to life and sell through them in a much better fashion than what we had to do in Q3 and Q4 of 2023, where really it was about getting inventory as quickly as possible.
Riley Timmer: I think the other thing I would just add to it is that the technology investment that Jeff mentioned is really as we think about the partnership with Blue Yonder and being able to get ourselves in a much greater position around product assortment around inventory allocation. These tools are going to be key for us as we think about it to be able to get us to speed what a retailer should look like is having the tools for the merchants to be much more in tune with what's happening and I think really puts us in a position as we think about getting a great return on this product that we're investing in from a technology standpoint.
Justin Kleber: Okay. I guess maybe I'll ask it more directly. I mean you talked about returning to gross margin like historical levels. So if I look at kind of 2020 through 2022, you were in the upper 32% range. Is there -- is there any reason why that's not where you get back to here in '24?
Jeff White: I think the biggest unknown there, Justin, is obviously the health of customer, and that's something we navigate every single day. But as we think about from a merchandise perspective and where we sit today, there are great opportunities for us to move through, have productive inventory, have the right stuff in the right place at the right time. Serve it right with the store labor and really see some good improvements from the margin point. The other thing I would call out is just mix. If we go through the year and we see heavy penetration in firearms and ammunition, that obviously is going to weigh on the gross margin line because mix is always going to add in that factor can't control if I'm selling a lot of firearms and ammunition, and those are lower-margin categories.
Justin Kleber: Yes. That all makes sense, Jeff. Question, Paul, you mentioned this new workforce management system that just thinking about payroll dollars more holistically or in aggregate, at least at the store level, do you see a need to reinvest back into the business from a store label perspective? Or does this system just allow you to be smarter with your existing dollars and kind of how you deploy them at the peak hours during the day.
Riley Timmer: Yes, I think that's the back part is, I mean, today, the way we're doing it, it's extremely manual versus being able to have the ability to look at it and to be able to truly forecast where we can go 4 to 6 weeks out. Based on what we know in trends and to be able to ensure we've got the people at the right time and on the right days, we think Thursday through Sunday, the importance of all hands on deck and an 11 to 2 customer we have, which is unique to retail versus a drive time consumer that you have, it really allows us to be able to, one, I think, take time away from any type of administrative work you're doing, and we reinvest those hours back into being able to service the customer. So they are -- that we think as we went to market within the stores and looking at how we're incenting our employee base and our store managers. To ensure that they're selling product and giving them the opportunity to be able to make more and to be able to drive top line at the same time. So I think as we think about reinvesting more in stores, it's more about having generalists in the stores to be able to help the consumer and to be able to incent them the right way about growing profitable sales and profitable top line as we look at it. So that's a long way of saying I'm super excited to be able to get workforce management where we can get less administrative work and things being done and more opportunity for folks to be out there on the floor and being able to engage and give exceptional service to the consumer.
Justin Kleber: Great. Last question for me would be just your view, Paul, on the store fleet. Obviously, a lot of growth and new openings when demand was surging kind of pandemic initially, is there any need from your standpoint or perspective to clean up the portfolio at all? Or is that not really in the cards?
Riley Timmer: I mean, great retailers are always monitoring your entire fleet. And I think any time that we look at it and say, you're going to have a list of stores that you're looking at. But our main goal would be to be able to nurse them back to help and get them in a good position. I think to turn that, I see this as an opportunity for us as we get the gear right, we get the service right for the consumer that we put ourselves back in a potential to be able to grow. And that there's always grooming as a great retailer, you're always going to look at other things that don't make sense. But I mean, us looking at it and going, hey, we're looking to pull stores out of our fleet, that's not the case. We want to be able to be productive in all of our stores. And for us, the merchants, the operators, our visual team to ensure we're doing everything we do have stores that are not performing at the level we need to be able to get them back in the shape that we need. But ultimately, I would just flip that and say we want to be able to get the balance sheet in a great position this year as we pay down debt and we generate free cash flow and then put ourselves in a position in '25 and then particularly in '26, so where we can go and start growing.
Justin Kleber: Well, thanks for the time and best of luck.
Operator: Our next question comes from the line of Anna Glaessgen with B. Riley Securities.
Anna Glaessgen: Thanks for the detail on camp and fish, really helpful putting that in perspective. I just wanted to clarify, you noted positive trends in the categories. Are you seeing like year-over-year positive growth or just sequential improvement from the most recent quarters?
Jeff White: From what we're seeing right now in the market is year-over-year growth, and it really goes back to what Paul talked about, if we think back to last year, not only was the season late because of the weather, but we also were not in a position to invest in the right goods and have them in the right place in the right time. This year, we were setting those areas of the business much earlier as soon as January and February. So not only have we beat seasons, we were the first to market in it. The stores are in great shape, a good in-stock position. So we've really set ourselves up for the trends that we're seeing, and we're seeing the fruits of the labors right now as we sit here today.
Riley Timmer: I would say the other thing just on that, Anna, is we're just, we're really seeing positive results around newness and depth and that the most important thing on newness and depth is we're getting an opportunity to be more local, more regional and the team did a great job as they went in particular in fish and camp. How can we hit the mark in the different geographies and be able to get more local than what we've been. And we have taken our eye off the ball there. So I think the exciting thing for the consumer and what the stores are seeing out there today is that as the team worked at the back end of Q4, they were able to keep their eye on the local regional component, and you're getting to see that. And I think the other thing that I would add to it is we've got a lot more space as we went through the inventory reduction process, we really were strategic on being able to open up space and feature space where we needed to open it up. And the line of sight for our features we are in and for our dry valves to be able to bring that store out, to bring those items out and bring them to life in the store. Much, much different than what we've ever had in the past. So I think being able to be really productive with every square foot of the store. We're excited about what that looks like. And at this point, we touched just about every area as we finish out March and resetting and being able to open up the stores and give us the additional feature space we needed to, so we can showcase the newness.
Anna Glaessgen: Great. And turning to apparel footwear, you've been clear about clearing some of that distressed inventory and the need to reset that category. What do you think is the appropriate time line to think about when you'll be presenting fully reset assortment in those categories.
Riley Timmer: I mean we're in the -- it's flowing today, and I mentioned that we reset every part of the store. That was really through the gondolas as we think of camp fish and hunt. And then right now, we're in the process of resetting setting up the shops that we have and that you're going to see the spring colors in a much better place. Ultimately, as we come into really our peak as we get into fall and you see our fall season and then we go into the holidays with that buying team really being able to lean into it you're going to start to see it as you get into spring and summer, but you're really going to be able to see the impact as we get into fall.
Operator: Next question comes from the line of Mark Herrmann with R5 Capital.
Mark Herrmann: You gave out some numbers about the fishing SKUs and vendor rationalization. I just want to clarify, are those are before you added back any depth of product. Is that right? And kind of what is the permanent change in the SKUs and vendors look like in both fishing and the overall business? If you can kind of quantify that.
Paul Stone: No, I think it's at the same time. I mean, you're going through the rationalization process, but as you're putting your buy in. The team did a really good job of being able to get down in front from a clearance standpoint and get out of the old distressed goods even in fish. And then as we came back, we were able to go and you can see in the stores today with much, much greater depth. So I think they both go hand in hand, the distressed inventory moving at and then us being able to really, really go into debt fullness key items and the investment that we were able to see. And that's inclusive of us bringing in, as we talked about that SKU assortment and rationalization that's inclusive of being able to be more regional and local as we buy as well.
Jeff White: Yes, Mark, this is Jeff. As we think about -- as we move through the inventory last year in totality across the business, we've removed roughly about 20% of our SKU assortment and vendor assortment out in totality across the business. What that does is allow us to go deeper and more meaningful with key vendors that resonate with our customer. And that's what's really driving that's what drove the efforts behind the scenes is making sure, again, back to the right goods, the right place for the right seasons with the right vendors. And that's what has changed about how we think about the business going forward.
Paul Stone: I think the energy and the feedback that we're receiving from our partner and supplier community on the strategy and being able to be very targeted on approach and buying in the depth is -- it's been welcomed and it allows us to be able to manage the product. And regionally, as we've restructured our field organization to align from a geography standpoint, it's given us the opportunity, I think, to really double down.
Mark Herrmann: So in apparel and footwear given the discounting, would you say that the kind of the non-go-forward brands and styles would also be maybe somewhere in that 20% range kind of long term for those 2 categories? Or how much of the fourth quarter discounting is permanently element.
Jeff White: A lot higher than that for apparel and footwear, Mark. That's why we had to specifically call those out last year. If you notice, we haven't called out some of the other categories because we've been able to get out of those vendors without having it be materially impactful to the business. Apparel and footwear was much, much higher than that, which is why the call out last year was necessary to make because it was going to be very significant for the overall profitability of the business.
Mark Herrmann: Okay. Great. Just one last thing. We haven't heard about private label in a while. Have your goals changed at all for that? And have you thought about focusing even more there, just given the consumer trade down comments you made today?
Riley Timmer: Yes. I think it's always top of mind. And as we look at it as a management team, we want to ensure we do this right. And it takes a team and it take processes to be able to truly build out the private label. You'll see that improve this year. But I think as we look at it overall, we need to be thoughtful. We need to be extremely strategic. And most importantly, I think the team here, we've seen what great private label looks like within our industry, and we've also seen what private label should never look like within the categories which we serve and the consumer we serve. So we're going to put our name and we are, and we're going to put Sportsman's Warehouse on it, we have to ensure that we have the quality and standards and expectations we need. It's front of mind for us. We want to make sure as we go through this journey with private label that we're doing it right, that we do not lose credibility with the consumer and they can look back and go. Man, this is true quality gear that you're getting here. So I would tell you, it's front of mind as we think about the build out over a period of time. We've just got to be really thoughtful and strategic. But you will start to see it. I'm really pleased with some of the things that we're working on right now and you're going to see the back half of the year that you're going to have. But ultimately, I mean, we are a house of brands. Our consumer depends on that. But we do think that we can mix and that we have an opportunity and a right to win to be able to bring a quality private label to market.
Operator: There are no further questions at this time. I would like to turn the floor back over to Paul Stone for any closing comments.
Paul Stone: Thank you for joining the call today, and thank you to all the passionate employees around the country for your commitment to Sportsman's Warehouse together. We look forward to providing our customers with great gear and exceptional service. Thank you.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.